Operator: Good day, and welcome to the Q1 2014 DHT Holdings earnings conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Eirik Uboe, Chief Financial Officer. Please go ahead.
Eirik Uboe: Thank you, and good morning. Before we get started, I would like to make the following remarks. This conference call is also being broadcast on our website, dhtankers.com, and a replay on this conference call will be available on the website. In addition, our Form 6-K, evidencing this news release, will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT's prospects, the outlook for tanker markets in general, expectations regarding daily charter hire rates and vessel utilizations, forecast of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping and projected dry docking schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. I am also joined this morning by Svein Moxnes Harfjeld, our CEO and Trygve Munthe, our President. With that, I will turn the call over to Svein Moxnes Harfjeld.
Svein Moxnes Harfjeld: Thank you, Eirik. Good morning, everyone. I want to thank you for attending DHT's first quarter 2014 earnings call. Our EBITDA for the quarter came in at $7.6 million with a net loss for the quarter of $0.5 million, equal to $0.01 per share. We took delivery of two VLCCs in February. Both have started operations without approvals. The ships were subsequently fixed and are now in operation. The unfavorable weather conditions in the Eastern Mediterranean resulted in a longer than planned dry dock state for one of our Aframaxes and furthermore, one of our Suezmax suffered harsh weather damage in the midst of the North American winter. We will pay a dividend of $0.02 per common share for the quarter, payable on May 22 for shareholders of record as of May 14. During the quarter, we entered into agreements with Hyundai Heavy Industries for the construction of four VLCCs including the declaration of an option entered into in 2013. As a result, our orderbook now consists of six VLCCs at an average contract price of 95.5 million each, a price that includes $2.3 million per vessel for certain additions and upgrades to the standard specification. We brought two large newbuildings some 10 months forward from the original delivery schedule. The delivery schedule is now November 2015, followed by January, April, July, September and October 2016. We currently have a fleet of 10 ships in the water being six VLCCs, two Suezmaxes and two Aframaxes totaling about $2.38 million deadweight tons in operation. With the six VLCCs on order, the fleet will increase to about 4.18 million deadweight. On February 5, we completed a registered direct offering of about 30.3 million shares generating net proceeds or about $215.9 million. Today we have about 69 million common shares outstanding. There are no preferred shares outstanding. With an effective shelf filing in place with about 80 million authorized shares available, we are in position to respond to growth opportunities. With that, I will pass it on to Trygve Munthe for an update on our other activities.
Trygve Munthe: Thank you, Svein. As Svein said, we continue to be focused on growth and expansion of DHT. Since we took the delivery of the DHT Hawk and the Falcon, we have spent a clear majority on trying to develop new and meaningful project for the company. Since then, our focus has been, first and foremost, on secondhand opportunities. We have inspected a number of ships and we have tried to develop individual vessels to be added to the fleet as well as groups of ships, a small fleet if you may, as well as some more M&A type opportunities. However, and unfortunately, we have so far failed to find common ground on values. We certainly recognize that the market and the secondhand values have recovered since the third quarter of last year. If you take Clarkson's Shipping Intelligence as a proxy, we recognize that the value of a five-year-old VLCC is up 35% since August last year, but in many of the projects we have worked on, we have found sellers to have price expectations far north of those levels, and simply we have not been willing to meet those expectations. However, we think that this is about to change. We certainly see that there are more sales candidates coming on to the market, and we have the sense that prices are narrowing in on the broker estimates. So we are cautiously optimistic that we, during the not too distant future can find common ground with potential sellers and we can continue to grow DHT. Finally just a few words on a newbuildings in general. We have certainly looked at certain opportunities to take over existing orders. But again, we have failed to find common ground on prices and as far as potentially placing new or further orders directly from the yards, we are a bit apprehensive, first of all because we think that 2017 delivery at this point seems to be a bit far out and importantly, we do certainly feel our share of the industry responsibility for not overbuilding the bank market. So with that operator, we would like to open up for questions.
Operator: (Operator Instructions). We will take our first question from Jon Chappell from Evercore. Please go ahead.
Jon Chappell - Evercore: Thank you. Good afternoon, guys. Svein, I want to walk through the financing assumptions for the six new builds. You have enough cash in the balance sheet to meet your capital expenditure program through 2015. But just wondering if there has been conversations with banks yet and what you are looking at for potential leverage of the new builds and then the timing of taking the leverage? Will it be completely at delivery?
Trygve Munthe: Yes, Jon. This is Trygve. We have binding commitments from a syndicate of banks to provide mortgage financing for the first three orders that we place. We are working on the documentation on that. But it's definitely a firm commitment. Then as far as the next three ships, we have received three different offers, at least, that we are evaluating. So we are highly confident that we can wrap that up at the time when we think it is opportune. I think you should recognize that, at least for DHT, the credit availability and the terms are improving for us. So at this point we are not rushing to tie up the debt finance on ships four, five and six partly because we then are going to incur commitments, as you can imagine. Our assumption is that the construction period is equity financed and the bank financing comes in at delivery, when the 50% final installment is due to the (inaudible).
Jon Chappell - Evercore: So it will be 50% leverage on the ships?
Trygve Munthe: That is the intention. Yes.
Jon Chappell - Evercore: Okay, and the terms, just broadly speaking, are we still on the 300 or 350 basis points? Or has that come down to 200 recently?
Trygve Munthe: I think it's come down to less than 300.
Jon Chappell - Evercore: Okay, good. Also Trygve, you mentioned the disconnect between secondhand prices and maybe your expectations based on eh current market. That kind leads to a question about your current fleet. Obviously, it's good to have vessels on the water and generating cash in a decent environment while you are waiting for the new builds, but if there is strong base demand for tonnage, have you thought about further modernizing the fleet by disposing some of your current vessels?
Trygve Munthe: When we feel that all of this is how we manage the company through the cycles. We think that we are in an investment mode at this point in the cycle. Hence the capital focus is on the expanding the company. We will, at some juncture, move into a point where one would focus more on the operating the assets that are then are at hand. (inaudible) through the recovery, we will look at also disposing of older assets but that is not something we perceive to take place at the current point in time.
Jon Chappell - Evercore: Okay, and then finally you mentioned some of the unexpected offhire time. Especially you mentioned the Suezmax had suffered some damage because of the weather. How is that vessel as it entered the second quarter? Should we expect more offhire time in the second quarter due to some damage related to that ship or any other issue?
Trygve Munthe: No.
Jon Chappell - Evercore: Completely done in the first quarter.
Trygve Munthe: Correct.
Jon Chappell - Evercore: Okay. Thanks, Svein and Trygve.
Trygve Munthe: Thank you.
Svein Moxnes Harfjeld: Thank you.
Operator: Our next question comes from Joshia Katzeff from UBS. Please go ahead.
Joshia Katzeff - UBS: Just want to start out with your market expectations, especially for the VLCC market, now that you have your VLCCs pretty much running spot. Over the past couple of years we have seen some Chinese stock building in the spring. I just wanted to hear your thoughts on the possibility of that this year? Or do you think that the Chinese do a lot of their stock building in Q1 when we saw rates really high? So I just wanted to get your three to six months outlook.
Svein Moxnes Harfjeld: I think on the stock building side in China, there is a limited specific data available but we do know that their capacity to build stocks is there and there has been added capacity to build stocks. But exactly how much is going into storage or long-term storage are commercial (inaudible). Its really hard to pin down. We do have a sense that some of the refinery projects that were scheduled to start up in 2012 and 2013 have exposed some postponement, and that those are rather coming into operation this year and next. So essentially, we do sense that there is demand growth during the year and also in the next coming year. And as such, we do expect the market this year, on average to be better than last year. I think as we have stated all along, we expect it to be choppy and still some more volatile and we are seeing that right now. Spot market certainly ahs come up quite significantly from the highs in the winter, but we think this is more of a seasonal phenomena and its related to maintenance seasons and turnaround seasons on the right of refineries.
Joshia Katzeff - UBS: Got it. So you are expecting more of the same near-term in terms of normal seasonal trends come into play later after the spring?
Svein Moxnes Harfjeld: Yes, that's a fair conclusion. Yes.
Joshia Katzeff - UBS: Just wanted to maybe touch on your current expansion plans. I know it's been mostly VLCC focused, especially the secondhand market. But recently we have seen, I guess a bit more activity in the Suezmax market, especially with some newbuildings and secondhand cells from some other owners. Have you started to consider maybe some of the smaller asset sizes? Or are you still very much VLCC focused right now?
Svein Moxnes Harfjeld: It's true what you say that we have been spending most of our time on VLCC so far, but over the past few months, we have certainly started to inspect the Suezmaxes as well. I think the industry in general has started to get comfortable with the new life for the Suezmaxes. It was looking a bit cloudy once the West Africa to Philadelphia backbone trade was evaporating, but the ships have found a new attraction elsewhere. It's a quite flexible asset class. So it's not only us that is starting to get more interested in Suezes.
Trygve Munthe: Keep in mind also that the Suezmax sector in general has been less transactional activities than its smaller and larger have been. So it's coming off another small base, if you like.
Joshia Katzeff - UBS: Is there a similar market, I guess, right now in Suezmaxes as VLCCs with big bid spread or is it just a lack of ships even being offered for sale?
Svein Moxnes Harfjeld: I think it's the same. It's a very similar dynamic.
Joshia Katzeff - UBS: Just quickly touching base on your balance sheet. You have raised this cash. You have a lot of cash now. I understand some of that is going to be going to your newbuilding program, but how do you think about your current dry power right now? How much cash are you comfortable spending right now before you necessarily have to talk to capital markets again?
Svein Moxnes Harfjeld: We think that we are totally in a position to go off and execute on the individual ship opportunities but once you start talking about fleets, let alone M&A opportunities, we would envision that it would be similar to what we did in the first quarter where you tie these things up and then you come to market and raise the finance.
Joshia Katzeff - UBS: So far, we think maybe two or three VLCCs without having to raise capital market, without having to raise equity, but then maybe a larger transaction, you would have to?
Svein Moxnes Harfjeld: This will certainly depend on the age of the ship, right, and the price tag or the amount of capital that should be spent on this. But we don't see it consume any significant portion of the cash at hand. It is primarily focused towards newbuildings. But if there is one ship, maybe two that comes in the five to ten years of age bracket, so that's something we feel comfortable moving up.
Joshia Katzeff - UBS: Got it. Well, I appreciate the time. Thank you very much.
Svein Moxnes Harfjeld: Thank you.
Operator: Our next question comes from Omar Nokta from Global Hunter Securities. Please go ahead.
Omar Nokta - Global Hunter Securities: Hi. Good afternoon. I just had actually just one follow-up regarding the logjam in the sale and purchase market. In the past, you have chartered in vessels and just wanted to get your thinking on that. In this type of environment where you are unable to really find ships to purchase, maybe that will change, but what do you think about chartering in vessels, obviously, no major capital outlay but it does come with higher risk.
Svein Moxnes Harfjeld: I think over the past four years or I guess in the company's entire history, we only chartered in one occasion and that was simply because we got ourselves included in the charter. So to do a straight in chartering just to level up is not in the cards.
Omar Nokta - Global Hunter Securities: Okay. All right. That was all I had. Thank you.
Svein Moxnes Harfjeld: Thank you.
Operator: Our next question comes from Herman Hildan from RS Platou Markets.
Herman Hildan - RS Platou Markets: Good afternoon, guys. Just a quick question on the financing again. Just your targeting ships with leverage, could you just maybe now you will get quite longer than 15 years profile or what's the discussions that you have done there?
Svein Moxnes Harfjeld: We certainly get profiles that are longer than 15 years.
Herman Hildan - RS Platou Markets: Is that closer to 18 or is it possible to have anything like that for the first three?
Svein Moxnes Harfjeld: I think we are in the midst of those discussions. But they are longer 17.
Trygve Munthe: Herman, seeing that we are focusing keenly on keeping our cash break even as low as possible, hence the moderate leverage of 50%, and then after that our top priority in the negotiation has really been there on the repayment of (inaudible).
Herman Hildan - RS Platou Markets: Good. Thanks. Just a quick one on (inaudible) the fleet as well as the Phoenix has been 15 years. Could you give some color on how she is trading in the spot market and how she is performing?
Svein Moxnes Harfjeld: The Phoenix is performing well. She has a number of ordinance approvals. We are scheduled to take her to do a special survey in the third quarter this year. The ship, from a structural point of view represents a high level of integrity. So we expect the cost of that special survey to really be in the lower end of the range than what would be industry pricing. So I think one should assume the CapEx is going to be maximum $3 million amount. We are contemplating in adding some more fuel efficiency equipment on the ship. That could result in an additional $0.5 million of CapEx. But that, for us, is an investment to the additional investment that will pay back in less than two years.
Herman Hildan - RS Platou Markets: Thanks. Just on the (inaudible) pool, could you shed some light also her relative performance in that pool. Is it possible to say anything about that?
Trygve Munthe: Yes, I think --
Svein Moxnes Harfjeld: I think the pool, net of its cost base and net to the participating owners, based on a standard ship, earned approximately $33,500 pay in the quarter and our (inaudible) fees which were five in the quarter had their earnings adjusted for their relative performance pretty much spot on, very close to (inaudible).
Herman Hildan - RS Platou Markets: Okay, and final question on the acquisition opportunities. Where do you think on the, call it, value proposition on the assets you have now? Is it zero to five? Five to 10? What kind of tonnage are you looking for?
Svein Moxnes Harfjeld: We are in general looking for assets in three classes we are in, inside of 10 years of age. To phrase it this way, we think our opinion on price differs the most from potential sellers at the young end of the curve. I think people make the mistake of thinking that a brand new ship on the water today is an equal to VLCC. Most often, it is not. We think it's unreasonable that to be price of what you build (inaudible).
Trygve Munthe: (inaudible), five to 10-year-old age group, it seems, at least on paper to be more properly priced. If say, a four or three year old ship can also be priced in this continuity of that curve, then we think you are in the range.
Herman Hildan - RS Platou Markets: All right. So is that predominantly Korean or Chinese (inaudible) that you are looking for? For that price to become --
Svein Moxnes Harfjeld: Korean and Japanese.
Herman Hildan - RS Platou Markets: Okay. Thank you very much.
Svein Moxnes Harfjeld: Thank you.
Operator: Our next question comes from Nicolay Dyvik from DNB Markets. Please go ahead.
Nicolay Dyvik - DNB Markets: Good afternoon. Could you talk to maybe on the Suez. Could you shed some thoughts on what you think of the Aframax segment or the relative valuation between the Aframax and the VLs? Also if you see, in spite of the weak (inaudible) tanker market. If there is some call it (inaudible) owners wanting to shift more LRs into the crude trade?
Svein Moxnes Harfjeld: The way we look at the Aframaxes is that currently we are essentially a time charter owner, if you like. We service a couple of lines to time charters. We think that if we are going to make an Aframax effort, we will rather them go in a much bigger way and build up a significant fleet with the trading operations and contract replacements and triangulations and so forth. So just to pick up one or two assets is not as compelling for us. Also if you look at just relative valuations, considering historical numbers, an Aframax newbuilding historically has been trading at approximately 50% of VLCC newbuilding. Currently its more in the 55% to 58% territory. We think that's a bit on the high side. That might be a reflection of the activity in the current tanker space where a lot of people want their (inaudible). So that's kind of pushed up pricing. Those prices are up somewhat. You see a similar trend on the secondhand five year old Suez and Aframax today. It is somewhere in the high 30s, which is relative on the VLCC where a five year old is in the mid to low 70s. We think then that the VL is a more compelling value proposition.
Nicolay Dyvik - DNB Markets: You talked about still in an investment mode. How much more those asset prices have to move before you start harvest mode and don't find further investing, most beneficial for current shareholders.
Svein Moxnes Harfjeld: That's a difficult one to answer specifically, but the things we typically look at is what required rates you get by acquiring further assets and comparing those rate requirements to historic averages and we certainly want to be on the south side of the long-term historic averages to make further investments. I think as to Trygve's earlier update here that we have been reluctant to entertain some of the asking levels during the quarter as an indication of the kind of discipline we apply to this, that we want to invest more.
Nicolay Dyvik - DNB Markets: Okay. Thank you.
Svein Moxnes Harfjeld: Thank you.
Operator: The next question comes from Mark Suarez of Euro Pacific Capital.
Mark Suarez - Euro Pacific Capital: Good afternoon, guys. Thanks for taking my call. I just wanted to touch on the newbuilding prices we are seeing right now. I know we have seen a trend of newbuilding ordering activities, I would say, over the past 12 to 18 months and that all, obviously, has intensified. I am wondering, as you talk to shipyards, and I think you talked about this in your initial comments, have you seen increased competition with that competition continued to go up, if you will? And how do you see newbuilding prices for VLCCs trending over the next year or so?
Svein Moxnes Harfjeld: There has been some capacity that has been freed up by some other type of ships of projects not coming to fruition. We have seen the leading yards in Korea have been marketing VLCCs at one or three. We don't think they have got much traction at all on that. So there seems also to be some more reluctance from Wall Street to support new projects or companies or newbuilding orders as of late. Also to Trygve's comment earlier some of these deliveries are out in 2017 and for us that's a bit too far out and we get a sense that all the people think similar to us on that. We think, it's in fact a good thing.
Mark Suarez - Euro Pacific Capital: Got you. Now just turning on to the balance sheet for a second. I know a lot of this cash has been raised for potential newbuilds and so on and so forth. But at what point would the Board consider maybe increasing the dividend? Do you have a cash level in mind if you will, before even considering returning some of that cash to your investors?
Svein Moxnes Harfjeld: We have repeated time and time again, that we don't have a specific dividend policy. It's up to our Board of Directors to decide on that quarter-by-quarter. But as a general comment, we think the market has phases and we are now in the investment phase and hence our dividend is quite limited. Once we are done with the expansion and we are more just operating and letting the way take us all up, then you shouldn't be surprised if we payout larger portion of the cash generated from the operations.
Mark Suarez - Euro Pacific Capital: Got you. Okay. That's what I have for now. Thanks, guys. Thanks for the time.
Svein Moxnes Harfjeld: Thank you.
Operator: (Operator Instructions). Okay, we have no further questions at this time.
Svein Moxnes Harfjeld: Okay, and with that, on behalf of the DHT, thank you all for attending our earnings call and I appreciate your continued interest in our company. Have a good day.
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.